David Schamus - Raymond James:
Operator: Good day and welcome to the conference call regarding Haverty’s Q3, 2014 Financial Results. Today’s conference is being recorded. At this time I’d like to turn the conference over to Dennis Fink, Executive Vice President and Chief Financial Officer. Please go ahead sir.
Dennis Fink: Good morning everybody. During this conference we’ll make forward-looking statements, which are subject to risk and uncertainties. Actual results may differ materially from those made or implied in such statements, which speak only as of the date they are made and which we undertake no obligation to publicly update or revise. Factors that could cause actual results to differ include economic and competitive conditions and other uncertainties detailed in the company’s reports filed with the SEC. Our President, CEO and Chairman, Clarence Smith will now give you an update.
Clarence Smith: Thank you Dennis. Good morning. Thank you for joining our third quarter conference call. As we reported previously, our total sales for the third quarter increased 3% to $198.5 million. This was our best total sales volume quarter in the past seven years. Our comparative store sales increased 3.5% and our written comparative store sales were up 4.6%. Our total sales for the first nine months of the year are up 1% and up 1.9% for comparative store sales, which had been up 11.5% for the nine months last year. Total written comp store sales for the fourth quarter to-date are up approximately 3.5% on top of last year’s quarter-to-date total increase of 5.6%. As a reminder, delivered comp sales for the full fourth quarter were up 9.5% last year. Our pre-tax earnings for Q3 were $12.5 million with EPS at $0.34 compared to $0.42 last year. During the quarter we had four stores in the midst of closing sales, as well as three local area warehouses. With the activity, the average written ticket was flat for the year ago. The number of tickets was up and the closing rate improved. Gross margins were 53.5% versus 53.9% last year with the decrease due in part to our LIFO charge versus a credit last year and also to the impact of the store and warehouse closings. We have an aggressive store opening and relocation program underway. For the second half of the year we will have opened six stores and closed four stores by year-end. We planned a net one new store for the year, ending with the selling square foot increase of approximately 2% in a 120 stores. This past week we had a celebration of our opening of our new Atlanta Buckhead Style Studio, featuring more contemporary and urban scale products, with an emphasis on special order and custom choice. We returned of the store site that we exited 24 years ago with an exciting new look. We feel that this format strongly complements our position in the heart of the faster growing retail market in the South and appeals to the in town customer. We relocate to a larger and better position store in Winston, Salem next Friday and a week later open a new store in Kissimmee, the fastest growing market in Central Florida, replacing one of our older Orlando locations. Our new Southeast Florida flagship store in Coconut Creek is scheduled to open late this year and includes the introduction of our outdoor furniture line. This completely remodeled former Carl’s Furniture store will be the second largest store in the company, and will help establish Haverty’s as a significant player in that dense and in the fast growing market. We will strengthen our position in Southeast Florida further adding another completely remodeled former Carl’s location at Fort Lauderdale in the spring of 2015. We have major remodeling projects underway in several of our markets and are nearing the completion of our five-year Bright Inspirations remodeling program, which should be over 95% finished in 2015. We’ve substantially completed the additional rack storage projects in Florida and Virginia DC’s and are reviewing our plans to expand our western distribution center in 2015 or 2016. We want to make sure that we have our best selling products in stock and are better able to respond quickly to our customers needs in our fastest growing and further out markets. Our marketing team is continuing to invest in enhancing our website and mobile access, as well as new means of using the latest tools, the digital tools in our stores. In 2015 we’ll be investing a larger portion of our market budget in our CapEx to mobile development and website enhancements. Our Internet sales are growing at a higher rate than our overall store sales and while the Internet sales are less than 2% of our total, over 80% of our customer use the site to research and to manage their sales and delivery process. Our in-home design program, H Design, continues to grow and develop. We now have 92 salary designers on staff serving 105 stores, offering free in-home design service to our customers in most of our markets. We are very pleased with our new designers joining our team and a significant positive impact on our store professionalism. They’ve added a real energy to our overall team. We are now offering services that our customers have wanted from us and our stores are becoming more experienced in providing full design service to the more fashion oriented customer. We are excited by our new stores opening and the stronger positioning in several of our most important markets. We are finally receiving in enough containers to begin catching-up with demand on our best selling products and to allow us to display many new collections. This in-flow is helping us to increase deliveries in October and in the final two months in 2014. I’d now like to turn the call over to Dennis Fink.
Dennis Fink: Thank you, Clarence. In our earnings release last night the financial highlights were covered and I’ll only touch on a few of those points now, mostly relating to our expectations. The third quarter warehouse and delivery was not as efficiently run and operated as last year. Almost all of the extra cost was in labor. We were staffed to deliver more volume that didn’t receive all of the merchandise from Asia that was anticipated to reach our targets. Our teams are anxious to show what they can do in Q4, now that the merchandise flow is very strong and such that our staff can be utilized more fully and on a consistent basis with efficiently scheduled routes that aren’t subject to as much change as they were in the last few quarters. We customarily give guidance for expected gross margins and SG&A expenses for the current year within each of our earnings releases. We don’t publicize any sales forecasts, but do announce our actual sales within a few days after each quarter-end and then disclose how sales for the first month of the new quarter are trending when we announce quarterly earnings. The fourth quarter 2014 expected fixed and discretionary type expenses within SG&A include $1 million increase in total advertising spend versus last year’s fourth quarter and approximately $1.1 million of extra fixed type SG&A expenses over the six new stores. Two of those new stores opened in the third quarter, and four are coming online in the fourth quarter. Interest costs from the leases that get recoded on our balance sheet from those stores should be an extra $200,000 compared to last year for the fourth quarter. All of our store openings in 2014 are in the second half and plans for 2015 are for most of the activity to be in the first half. The 2014 weighted average retail square footage increase is only going up about four tenths of a percent for Q4, and for the whole year of 2014 its only up one tenth of the percent. However, the 2015-weighted average retail square footage increase will be up 4% based on our current rollout plans. Tracking this metric helps estimate the future sales increase percent from additional stores, that can then be added to expected comp store sales increases to model a total percent sales increase. Well for the first half of 2015 for instance, we are expecting about a 3.2% increase in the weighted average square footage compared to the first half of 2014. So that is a proxy of sorts for how much extra sales we could get from those new stores compared to the prior year. The second half will be about 4.9% increase in 2015 over the second half of 2014 in weighted average square footage growth. Overall for the year 2015, it’s about 4% increase for the full year over 2013 and weighted average square foot outstanding. For the expense increase for the efforts underway, opening new stores should pay off in better sales, additional sales next year and beyond. Our cash balance at September 30 of $78.7 million is presently down by about $15 million to $20 million, as our capital expenditures accelerated during the quarter with the store openings so far and our merchandise purchases have increased with in-bound flow in warehouse inventory going up. The inventory is up and we do want to have faster delivery fulfillment to consumers going forward and be a little less susceptible to lead time fluctuation caused by the availability of slots on container ships, labor issues in ports and other events that are out of our control. November and December are usually the peak months for delivered sales. Also we are catching up this fourth quarter and bringing in more new merchandise than normal. Some of that also was delayed from Asia over the last six months. All of this goes through our DCs and gets prepped and delivered to our stores on the same trucks we deliver to customers. We are still in the process of budgeting for 2015 with efficiency and control of discretionary costs in mind. We will give expense guidance for next year after that process is completed and reviewed with our board. Operator, at this time we’ll take questions from the audience.
Operator: Thank you. (Operator Instructions) Our first question comes from Brad Thomas with KeyBanc Capital Markets.
Bradley Thomas - KeyBanc Capital Markets: Thanks. Good morning, Clarence and Dennis.
Clarence Smith: Good morning Brad.
Bradley Thomas - KeyBanc Capital Markets: I wanted to first ask about the outlook before sales for the fourth quarter, specifically with respect of the strong backlog that you had at the start of the quarter. In your press release obviously you call out that the written sales are up 4% to-date and the delivered sales though are up 9.5%. As you lookout over the across the whole quarter, what do you think the benefit could be as you work through the backlog? 
Dennis Fink: There is a lot of estimation to go into that and we do have the new samples that are taking some of our new showroom floor merchandise that is being delivered as well. So it takes a little bit of our deliver capacity, but the floor is strong enough and with the right items we think that, for instance if we had a written sales increase for the full quarter similar to what its have been so far this quarter, low single digit, low to mid-single digits, we ought to able to have a higher percent increase than that, two, three, four points perhaps higher on the delivered basis year-over-year, and that’s assuming we don’t have any additional supply flow problems. I guess anything like that would be related to the U.S. ports, because it’s on the way and we are already loading a lot – are off-loading and delivering a lot of that product. And the other thing would be really the winter weather coming early. Last year we had storms four months in a row, including in December, but other than that if the order rate continuous to come in nicely, we ought to be able to deliver out part of that backlog. Some of the backlog is year-over-year, particularly compared to two years ago, is based on higher percentage of this customer order upholstery program that we’ve had that’s been so successful. So, that takes a little time, a little bit longer to fulfill, just because it’s being made after customer orders it.
Bradley Thomas - KeyBanc Capital Markets: Okay, great. And if I could follow up with a question about gross margin, it was down in the third quarter and the guidance is for it to be down again in the fourth quarter, admittedly against difficult comparisons and LIFO benefits that you had last year. Clarence, as you think about the company’s gross margin going forward, is there still room to keep moving it up or is there something that maybe that’s structurally topping out where it could be for Haverty’s or has there been any changes in the competitive landscape? How are you thinking about gross margin going forward?
Clarence Smith: I think there is still round to move it up. We have an enormous amount of product that we developed and are excited about that’s arriving now, and we reviewed that to make sure of that we are getting credit for exclusivity, for the fact that we are sourcing it direct and taking the risk of bringing it in, etcetera. So I do think there is some room for growth on the gross margin. You mentioned the two things as we said in our call about what hit us the most last quarter and a lot of that’s going to be behind us, so I think that there is opportunity for it. I know we are not estimating this it’s going to be up, but I do think there is opportunity particularly in the case goods program and the new collections that we are bringing in.
Dennis Fink: Brad, I’ll just add that the fourth quarter margin slippage is really more related to one time or closed out events and some LIFO impact that is coming in a little higher than we would have expected. So I think flattening out is more like the comparable condition sort of number in this third and fourth quarter. We just had a little bit of headwind on margins just because of those two things.
Bradley Thomas - KeyBanc Capital Markets: Great and I apologize if I missed it, but can you qualify what the drag is from the closeout activity?
Dennis Fink: It’s probably 10 to 12 basis points in Q3 and maybe it will be 20 basis points in Q4, something of that magnitude.
Bradley Thomas - KeyBanc Capital Markets: Perfect. I’ll turn over to someone else. Thank you so much.
Dennis Fink: Thank you, Brad.
Operator: Our next question comes from David Berman with Berman Capital.
David Berman - Berman Capital: Hi guys.
Dennis Fink: Hi David.
David Berman - Berman Capital: Good morning. Just real quickly, your designer sales program, can you embellish on that? I think you’ve got 90 people or something in 119 stores. How do you feel that that’s worthwhile? I mean how can you tell that it’s actually adding incrementally more than what it’s costing? And the second question would relate to the new stores. If you can embellish further about how they are doing through in July, August, I think another one in October. How are the three new stores doing? Thank you very much.
Dennis Fink: Well, we’ve only got a little bit of track record on the new stores, but I’ll answer that first. The new stores that we’ve opened, we are very pleased with. The store here in Buckhead has just been opened barely a week. So we don’t have enough track record on that, but the ones that we opened prior to that, we are pleased. We are really excited about the relocations we’ve got coming in the next couple of weeks. They are much better locations. The store is going to be a lot better. We are excited about that. The in-home design program and we call it H Design has been success in helping us increase our average ticket. It’s over 2 to 2.5 times more than our average sale when we get in the customers home. So we are providing a service and helping to reach customers that we weren’t serving in the past. In our better stores its 20% to 25% of what sales are and we’ve got to goal in those stores to get it up higher than that, probably in the 30% range. So its new, we are bringing on new staff and we are pleased with what it’s doing for us and I think that its helping reach as I said, a customer we didn’t reach in the past. We also are offering product mix that we didn’t have in the past like the accessories and the rugs, all of the whole package. So I do think that it’s a way to separate our self from the promotional players. I think it’s going to be important in the future and so far it’s been a real plus for us.
David Berman - Berman Capital: All right, excellent, excellent. And if you can just talk about – your payout ratio as I understand is about 25%, and I understand you are a cyclical business and I’m impressed that you pay $1 dollar dividends every now and again. You’ve I think paid $2 in the last three years. So your cash balance would probably be close to $4 if you even do that. I’d like to see a high annual dividend and also I see you have a share purchase program. Just FYI, we much prefer the cash one-time dividend, but if you can just comment on the dividend, the annual dividend. If that was higher, I think that would be very helpful to investors’ long term.
Dennis Fink: We increased the quarterly dividend last year and we have a record of generally increasing that as we go forward. But we did have a strong cash position, which allowed us to give the dollar dividend in the last quarter and we were pleased to do that. I think it was a good play. We also authorized, the Board authorized another $10 million to buy stock back. So we have both opportunities. I think the dividend was the right thing then. We’ll look at the market and evaluate what make sense going forward. We are pleased that we are generating cash and intend to keep doing that.
Clarence Smith: Actually David, your point about the cyclical business is what’s on our minds, but there is room to pay more if the Board…
David Berman - Berman Capital: Well, yes, I understand that. I wouldn’t otherwise suggest it except that you are throwing out cash even in bad times, you’ve proven that, and you do have the $1.50 in the share in cash. So I don’t think one is too worried about your being able to make it given how well you did during the bad times.
Dennis Fink: Yes, I guess the point bout the cyclicality is more that you hate to ever get a number that would have to be paired back, because it comes a higher payout ratio than you wish in a slow time. So you look at it as a one direction, that quarterly dividend, but I mean its judgmental in terms of – its up to judgment of about how much is enough or how is too much and I think we pass on the comments of different institutional holders and analysts to our Board and there is appetite from more a dividend. So we will keep that under advisement. I don’t know if there is a right or wrong answer, but there certainly is, it’s important to respond to the people who follow and invest in it. We put their interest…
David Berman - Berman Capital: Okay, all right good. Just keep on going guys.
Clarence Smith: Thank you, David.
Dennis Fink: We will do our best.
David Berman - Berman Capital: Thank you very much.
Operator: Our next question comes from Todd Schwartzman with Sidoti & Company.
Todd Schwartzman – Sidoti & Company: Hi Clarence, hi Dennis.
Clarence Smith: Good morning Todd.
Todd Schwartzman – Sidoti & Company: Dennis, you mentioned the expected gross margin haircut of the clearance items in Q4, estimated 20 basis points. What is your visibility into Q1 in that regard and beyond? 
Dennis Fink: Well, there will be some more of that activity. We actually had a few local warehouses we are closing out as well, so that won’t happen next year and we are spacing our, we are spacing it out a little better in terms of our – well actually some of the new stores next year, I believe I see three of them in the first half and are all new locations. So, it looks like we have four in the first half and all of them basically are new locations. The replacement store is scheduled for later in the yeas. So those four don’t have any close out activity associated with them. So it’s the relocation and the outright closings that cause some clearance activity. We have one of the store we are closing and that should be in the fourth quarter next year, along with the one relocations. So you could see some again in the fourth quarter, but it’s not as many in a row as this was. So I don’t see it – there’s always clearance needed. When you close out groups you don’t end up an equal number of everything, and there is always damages, returns that have to be worked through the system, but I think this a little unusual for us to have this many at one time that we have in July through November this year.
Todd Schwartzman – Sidoti & Company: Got it. As far as receiving sufficient number of containers and timely receipt of those containers, that one largest, perhaps most problematic vendor in China that was giving you some grief earlier in the year, can you speak to that relationship and to what extent that’s returned to normal, and if that hasn’t occurred yet, when that is likely to happen?
Clarence Smith: Todd we moved the product that was being sourced by that vendor and it is on the way. We’ve done collections. They have shipped their back orders that they agreed to do and we are getting those now and filling orders, so that’s pretty well behind us. We are excited about the new collections that we resourced with some other players primarily in Vietnam and also in Indonesia, so that’s on the way. I don’t see this Chinese supplier being a negative to us from now on.
Todd Schwartzman – Sidoti & Company: Okay, great. Also, I’m interested to hear you speak a little bit more about the planned expansion of the Western DC. Specifically, is that to accommodate purely existing markets of yours?
Clarence Smith: Well, we are adding some stores in Texas, outside of Dallas. We did add a few in the Dallas, Fort Worth market in the last year, but that’s a small facility than our Braselton facility. We own a lot of land out there adjacent to it and we are bumping up on capacity and we are just going to need the opportunity to service all of the stores out there. We mentioned that we are closing some of these local area warehouses now. Actually those are being served by this Western DC. So we are going to need more capacity to continue to serve those stores and to source more product.
Todd Schwartzman – Sidoti & Company: So can you rule out expansion into new markets for you in the Western region?
Clarence Smith: No, we are going to be growing out there. That actually is where we’d be adding more locations. We are planning three right now and there are a couple of more markets that we are looking at that we haven’t announced. But no, we will be growing out west.
Todd Schwartzman – Sidoti & Company: So you’ll be entering states in which you do not presently operate at some point.
Clarence Smith: That’s possible. Well, we would be entering markets that we presently don’t serve.
Todd Schwartzman – Sidoti & Company: Okay, fair enough. Thanks a lot.
Clarence Smith: Okay, thank you.
Operator: Our next question comes from Kristine Koerber from Barrington Research Associates.
Kristine Koerber - Barrington Research Associates: Hi, good morning. I have a few questions. First, can you just give more color on the case goods business? It sounds like you’ve kind of worked through most of the issues, but what are you seeing so far on the case goods business? Are you seeing that business rebound at this point?
Clarence Smith: I do and I expect it in the next several months to come back significations, because of the product coming in. And I think that what we mentioned about sales this month being up nicely, a lot of that is filling orders that were case goods and I’m excited about our plan and our product that we’ve already got coming to our floors, new collections that’s hitting right now. We were impacted significantly for the last six months, nine months even in getting product in and having a major vendor that stopped making product for us and now we’ve corrected that.
Kristine Koerber - Barrington Research Associates: Okay, great. And then can you just talk about new store ramp, especially as you enter new markets, because I’m assuming the ramp time is longer, because you don’t have the brand awareness.
Clarence Smith: Well, a number of the stores are just repositioning in the current markets; like for instance Orlando, Winston, Salem, those are relocations. We are adding two stores in South East Florida where we do have stores. We are not as strong a player as we’d like to be down there and I think that we’ll significantly improve our position down there and our profitability by adding these stores. And in the markets in Texas that we are opening, we are known out there. So I think those should start out as we usually have in cities that are adjacent to our other stores. They should start out profitably within a few months. We think that they are markets that can support a good Haverty store.
Kristine Koerber - Barrington Research Associates: I guess I was thinking about next year, 2015, because you are entering several new markets next year. Is there any brand awareness in those particular markets you are going into?
Clarence Smith: Oh! I think so. I mean we haven’t announced one of the cities, but one of them is Waco, which is south of Dallas and we are known in that area. The other one is in Rogers Arkansas, which is Fayetteville. We are in Arkansas, been in Arkansas for over 100 years, so I think that we’ll have good name recognition. I think we’ll be well received in those markets.
Kristine Koerber - Barrington Research Associates: Okay, that’s helpful. And then as far as on the expense side of the business, the higher delivery and higher sales commissions, how should we think about that going forward. As far as the higher delivery expenses, do they start to subside and the sales commissions, is that mostly due to the in-home design services?
Dennis Fink: The sales commission yes, it is mostly due to that. That is an extra cost for the company and earlier we had a question about the payback and we have to see higher sales and bigger tickets that would demonstrate the payback. We think we will see it. We have seen the number of larger tickets growing and we think we are going to penetrate a different market, so sales would grow quite a bit as a result of the designers on staff. But you do need to have an increase in sales to pay for it and so its likely to continue. At a little higher level there are some things getting done structurally to keep the total from growing faster than sales. In terms of the other, I think we’ve just been inefficient, partly because of the whole supply, kind of the erratic, being able to predict when its coming and how much staff to have and as obviously in this fourth quarter I think there is more than 1000 people that are anxious to share how much they can deliver and how efficiently they can do it in the fourth quarter. So I’ll expect that could come down some. We are guiding for the fourth quarter like it is coming down a little and I think time will tell. We are certainly going to work hard on it and for the moment we’ve got a little lower contribution margin if you will than we had earlier, but with a good gross profit that we have its still pretty significant in high percentage that comes to the bottom line. But the answer is one of those costs are already coming back down at some point, the other is probably just going to stay a little higher and we’ll leverage fixed cost when sales go up.
Kristine Koerber - Barrington Research Associates: Okay, that’s helpful. And then just lastly, you talked about the new store performance in Texas, in particular Dallas. I believe about a dozen of your stores are located in the Dallas area. How are those stores doing, and maybe can you talk about the competitive environment, the potential competitive environment heating up early next year?
Clarence Smith: Well, certainly it will heat up when Nebraska Furniture Mart moves into Dallas and we’ve know about their coming for over three years. We have significantly strengthened our stores there. We’ve repositioned over the past year with two new stores and they outline fastest markets in the Dallas Fort Worth region. We’ve remodeled all of our stores with our latest look and we call it Bright Inspirations and they all look terrific. We’ve established this H Design, a design program in our stores out there and I think we’ve got the strongest management team and sales team in Texas and possibly in our company. So we are quite ready for our friends from Nebraska.
Kristine Koerber - Barrington Research Associates: Okay, thank you.
Operator: (Operator Instructions) Our next question comes from Budd Bugatch with Raymond James.
David Schamus - Raymond James: Good morning Clarence, good morning Dennis. This is David on for Budd. How are you?
Clarence Smith: Hey, good morning David.
Dennis Fink: Hi David.
David Schamus - Raymond James: I just wanted to touch on the case goods issue a little bit more. Glad to see that your finally moving past some of the sourcing problems and I guess what I wanted to know is, at what point during this quarter did you start receiving the new merchandise; was it towards the beginning or towards the end of the quarter? And also could you quantify, maybe what kind of a drag the sourcing issue and some of the shipping delays had on case good sales in the first, second and third quarters of this year.
Clarence Smith: Well, I think most of the product has been coming in this quarter, not last quarter for the new goods. We’ve got some in and was able to fill some orders in. I think that we announced that case goods was down about 2% and our overall sales were up slightly 1% for the year, so I would have expected case goods to respond almost as well as the rest of the company, so it might be 2% to 3%, the negative to not be fully in place with our line up.
David Schamus - Raymond James: Okay, that’s helpful. So really we’ll hopefully start to see more of the benefit from the new products as we move forward.
Clarence Smith: We’ve already seen it as we talked about our sales this month being – it delivers up at nicely. We’d love to be able to hold that number. I don’t know if we can, but we’d like to.
David Schamus - Raymond James: Okay, perfect. And then for H Design, what percentage of your stores currently have designers in the stores and offer that H Design option and what’s your plan for hiring more designers on over the next quarter and through 2015. Any kind of a cadence there?
Clarence Smith: We mentioned we have 92 serving 105 stores. Our goal is to be to probably 100 serving 110 stores or something like that. There are probably eight or 10 stores that we won’t need a designer or doesn’t justify having them. We are pretty close to fulfilling this program and I think within the next quarter or so, certainly first quarter next year we should be pretty well fleshed out completely with the H Design program.
David Schamus - Raymond James: Okay, all right. That does it for me. Thanks a lot.
Clarence Smith: Thanks David.
Dennis Fink: Thank you David.
Operator: And next we have a follow up question from Todd Schwartzman with Sidoti & Company.
Todd Schwartzman – Sidoti & Company: Hi. In Q3, either in terms of written or delivered business, I guess take your pick, can you speak to the mix by category looking at bedding in particular, and also accessories what the mix was there and maybe what the growth rate was for each product category in Q3?
Clarence Smith: Todd, I will comment on that. I need to get a refreshing piece of paper in front of me. Do you have any other follow up at this point? ‘
Todd Schwartzman – Sidoti & Company: No, that’s it.
Clarence Smith: Well, I’ll just speak then from memory. The case goods were down as we said. That was both written and delivered. Our accessories are actually growing the most. It’s a small part of our sales. Part of that other 10% or 11% we talk about, they’ve been up double digits as we’ve had more focus on that and there is more attachment with the designer sales. They are getting three times or more of the accessory sales that we get from the normal sales ticket. There is a higher factor percentage of accessories from the designers as you would expect. Mattresses have grown more than average and I think in the case goods side the toughest has been the bedroom category and occasional is flatter and I think dining room is flatter.
Dennis Fink: Upholstery is up significantly.
Clarence Smith: Upholstery is up significantly. We called out the special order. So that’s a general sense of it and we think case goods are going to come rolling back.
Todd Schwartzman – Sidoti & Company: And if you were to back out the special order, the custom upholstery business, how is the non-custom upholstery doing?
Clarence Smith: Its up, its not up like the special order and the custom, but it would be up also. I mean we are double digit in upholstery, so our overall upholstery business is up, as well as the special order.
Todd Schwartzman – Sidoti & Company: And I guess it stands to reason that as long as you are continuing to add even at a declining rate, as long as you are adding designers, the growth in accessories should be such that that category outperforms the other product category.
Clarence Smith: I would think it will continue to out perform. We are learning in it, we are doing a better job, we are learning how to coordinate better. Yes, I would say that accessory category will continue to probably outgrow all of the other categories for a while.
Todd Schwartzman – Sidoti & Company: Do you sign the lion’s share of the credit for that Clarence to the designers or are there other factors, maybe regional factors going on there as well?
Clarence Smith: Well first of all I give the credit to our buyer. We changed our program out a couple of years ago and brought in a new buyer, a professional who has been in the industry for a good while, Susan Black. She has done a very fine job redoing our program, but we are now sourcing it. We source it from Asia. We bring in better values. We now warehouse it in our distribution centers, which we didn’t before, so we can flow the product and complete a sales all at one time when the delivery is made out of the warehouses. We couldn’t do that before. So we completely reworked all of the program, closed out what we had before over the last several years and rebuilt it and then we added the H Design, which our designers are adding. They are completing the room, completing the package and that is another enhancement. But we hand it on the program to begin with; we wouldn’t have the product to be able to complete the package.
Todd Schwartzman – Sidoti & Company: I know that the Internet sales, web sales in total are less than 2% of sales, but just looking at the web sales, are sales of accessories representing a disproportionate part of that or is it kind of commensurate with the mix in the stores?
Clarence Smith: I think it’s pretty commensurate with the store mix right now. The product sold over the Internet is a little different than what we sell in our stores. I mean, its product that’s more easily pictured like desks, home office, youth, more simpler products is what generally is selling. I mean we only serve for furniture, these customers that are in our distribution footprint. So most of them can get into the store to see it and I think most customers would like to see furniture before they buy it, if they can.
Todd Schwartzman – Sidoti & Company: Right. Okay, thank you guys.
Clarence Smith: Thank you Todd.
Dennis Fink: Thanks.
Operator: It appears there are no further questions at this time. Mr. Smith, I’d like to turn the conference back to you for any additional or closing remarks.
Clarence Smith: Thank you Lauren. I’d like to thank you for joining us on our earnings call. We appreciate your interest in Haverty’s
Operator: This concludes today’s conference. Thank you for your participation.